Operator: Good day, everyone, and welcome to the Manitowoc Company, Inc. Third Quarter 2013 Earnings Conference Call. Today's call is being recorded. For our opening remarks and introductions, I would like to turn the call over to Mr. Khail. Please go ahead, sir.
Steven C. Khail: Good morning, everyone, and thank you for joining Manitowoc's Third Quarter Earnings Conference Call. Participating on today's call will be Glen Tellock, our Chairman and Chief Executive Officer; Carl Laurino, Senior Vice President and Chief Financial Officer; and Bob Hund, President of Manitowoc Foodservice. Glen will open today's call by providing some introductory remarks about our quarterly results and business outlook. Following that, Bob will comment on our Foodservice results for the third quarter, as well as sharing his longer-term goals and strategies. Then, Carl will discuss our financial results for the third quarter from an enterprise and segment perspective. Following these prepared remarks, we will be joined by Eric Etchart, President of Manitowoc Cranes for our question-and-answer session. For anyone who is not able to listen to today's entire call, an archived version of this call will be available later this morning. Please visit the Investor Relations section of our corporate website at www.manitowoc.com to access the replay. Before Glen begins his commentary, I would like to review our Safe Harbor statement. This call is taking place on October 25, 2013. During the course of today's call, forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995, will be made during each speakers remarks and during our question-and-answer session. Such statements are based on the company's current assessment of its markets and other factors that affect its business. However, actual results could differ materially from any implied projections due to one or more of the factors explained in Manitowoc's filings with the Securities and Exchange Commission, which are also available on our website. The Manitowoc Company does not undertake any obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or other circumstances. With that, I'll now turn the call over to Glen.
Glen E. Tellock: Thanks, Steven. Good morning, everyone. We reported solid top and bottom line results for the third quarter, driven by another period of year-over-year revenue growth in both Crane and Foodservice. We have worked diligently to leverage our competitive advantages that are benefiting from the substantial investments we have made across the Manitowoc enterprise. In addition, our ability to navigate through prolonged sluggish growth that exists in the marketplace is a testament to our unrelenting focus on our key strategic imperatives, as well as our diverse product offerings, leading technologies and geographic reach. Looking at our segments, Foodservice posted modest sales growth during the quarter as some customers deferred capital expenditures related to new store openings and other growth initiatives. We continue to successfully penetrate new customer segments and identify additional opportunities for expansion, which included the recent launch of a new ice machine line and the successful rollout of our blended beverage technology in Europe. Bob will discuss our Foodservice strategy in more detail shortly. While our margin profile in the business remains healthy, we did experience a year-over-year decline during the third quarter driven by the cost of our manufacturing initiatives in Tijuana and Monterrey, Mexico and Cleveland, Ohio which are now virtually complete and will incrementally benefit margins in the fourth quarter and throughout 2014. Looking at our Crane segment. Our third quarter sales grew by over 10%, driven by focused execution across all levels of the business. Our Crane segment also experienced a significant improvement in operating margin, achieving year-over-year increase of 110%, as our initiatives to improve and enhance our operations globally bear fruit. Results in our Crane segment were driven by a sustained demand in the Americas region, with crawler cranes and large rough-terrain cranes performing well, as higher crane utilization rates and strengthening rental rates drove our performance. We also saw continuing success with Manitowoc Crane Care, given our strategic investments in this unique aftermarket product support solution for nearly a decade. In addition, most of our product lines continue to be driven by strength in the energy and infrastructure end markets. From a geographic perspective, in addition to the Americas, markets of relative strength include the greater Asia-Pacific region, the Middle East and Russia. Whereas China, India, Australia and Brazil continue to be weak. We also saw order intake decline during the quarter compared to the third quarter of 2012. Although many customers are experiencing improved operating results, crane utilization and rental rates, year-over-year shortfall in new orders reflects overall customer cautiousness and conservative actions with our CapEx investments. And while the Global Markets have not rebounded to the degree that we had expected, we have continued to manage the business and stay the course, as evidenced by the third quarter's margin improvement. Looking forward, we continue to make investments for our long-term growth, even as the global macro environment remains challenging. First, we remain at the forefront of product innovation in Cranes and Foodservice. In Foodservice, this initiative remains core to our strategy with the recent product launches and our upcoming introductions of several technology enhancements. In Cranes, our recent product launches have performed well, including the 400-ton capacity GMK 6400, the 70-ton capacity RT770 and the 20-ton capacity MDT385 [ph] tower crane. We expect to unveil an impressive array of new products over the next several months, including an array of technologically advanced products that will premiere at ConExpo 2014. Second, we continue to invest in our global manufacturing initiatives. Bob will expand on these initiatives in Foodservice shortly. In Cranes, our recently developed shared services platform in France has started to positively impact Manitowoc. Furthermore, our ongoing ERP deployment initiative known as Project One will be fully implemented in 2016 and will provide cost and efficiency benefits that cannot be achieved with our current systems. To conclude, we have worked diligently to leverage the competitive advantages across our business segments. We are beginning to see the rewards from our investments to upgrade and rationalize our global manufacturing footprint, implement cross-segment process improvements and drive innovation throughout the business. While global economic growth will continue to be uncertain and challenged, our proven history to manage the company in any market environment, coupled with a continuing focus on our strategic initiatives will set the foundation for long-term profitable growth across the entire Manitowoc enterprise. With that, I'll turn the call to Bob for a discussion on our Foodservice segment. Bob?
Robert M. Hund: Thank you, Glen, and good morning. I'm happy to be on my first earnings call as President of Manitowoc Foodservice. Today, I want to focus my comments on the goals and strategies for the Foodservice segment, in addition to providing a brief overview of the segment's third quarter results and accomplishments. During the third quarter, we made sustained progress in Foodservice. Despite some customers continuing to defer capital expenditures, the segment posted modest sales growth. Driving these results were sustained growth in North America and increased demand in Europe, a direct result of the successful rollout of our Multiplex Blend-in-cup product across that region. This success speaks volumes about the diverse product offerings across the globe, as well as to our ability to leverage existing customer relationships, all of which affords us opportunities to accelerate long-term growth in this segment. In contrast, the greater Asia-Pacific region remains somewhat challenged, primarily due to uncertainty in certain Asian economies. However, as we continue to penetrate this market, we expect to see growth by the major chain restaurants in this region over the long term. Looking at our results from a product line perspective, we saw increased activity in select hot and cold product offerings. Year-to-date, sales in most product lines have shown modest growth, with the exception of our beverage and the U.S.-based refrigeration and custom fabrication business, which have seen more substantial growth. In contrast, our retail walk-in refrigeration and our Asia-based custom fabrication businesses have witnessed declines. Looking ahead, let me touch on our strategy for the business. Our primary goal is to drive long-term profitable growth by leveraging our strengths and the leadership of the Foodservice segment. This objective will be satisfied using a 3-pronged approach of customer focus, new product innovation and leveraging our global scale. I'm confident in the strength of our products and brands, which provides significant opportunities to grow along with our customers. Not only do we aim to be their supplier of choice, but also their innovator of choice. Consistent with this strategic imperative, we will be launching new products, expanding our ice, frying, refrigeration and accelerated cooking categories in both the fourth quarter and throughout 2014. Our customers are constantly looking for new ways to enhance their menus and support menu rollouts. And with our significant R&D resources, complemented by a culinary department that is unmatched in the industry, we're at the forefront of that innovation. This strategy will remain a key ingredient for the Foodservice segment's long-term success, as we support all areas of the kitchen from hot offerings to our accelerated cooking and grilling technology, to our cold offering, such as our award-winning ice machines that provide significant energy and water savings, to our touchscreen control systems technology, which being implemented across our product array. Exemplifying our new product innovation efforts, our successes include: First, the completion of the INDUCS acquisition that will not only enable us to broaden our surface cooking offerings but also introduce this innovative technology into other product lines. Second, the launch of our new cool air ice machines built at our new Monterrey facility. Third, the launch of new hot-holding technology that allows customers to hold hot food longer without compromising taste or food quality. Fourth, the successful rollout of the innovative Multiplex Blend-in-cup offering in the U.K. that has enabled us to penetrate multiple markets across Europe. And fifth, the recent recognition of 5 Manitowoc Foodservice brands as the 2013 Overall Best in Class awards from Foodservice Equipment and Supplies Magazine. As Glen noted earlier, we remain on track with our multiple manufacturing initiatives in Monterrey, Mexico, Tijuana, Mexico and Cleveland, Ohio. As a result of these manufacturing strategies, we expect sustainable and significant improvements to both production efficiencies and our cost structure. These initiatives underscore a greater goal for this business, to operate as more unified business and to work more as one organization. By employing this one strategy, Foodservice will utilize streamline business systems, operating practices and processes, thus offering a unique value proposition that provides an efficient and consistent channel to our customers. In addition, by leveraging the success of our Crane Care business, we are pursuing growth initiatives in our aftermarket services and solutions for Foodservice. In closing, while there are lingering concerns in various parts of the economy, the implementation of our long-term initiatives will help generate solid growth across the Foodservice business and around the world. That said, we will continue to invest in these initiatives while appropriately managing expenses, enabling us to grow -- enabling us to gain operating leverage as the business grows. The drive toward continued customer focus, new technologies and greater innovation around our brands, plus improved operating efficiencies and investments to upgrade our global manufacturing network, should solidly position us for long-term success in the foodservice industry. I will now turn the call over to Carl to discuss our detailed third quarter financial results. Carl?
Carl J. Laurino: Thanks, Bob, and good morning, everyone. We reported net sales for the third quarter of just over $1 billion, which is an increase of 7.1% from a year ago. GAAP net earnings for the third quarter were $52.9 million or $0.39 per diluted share versus $22.2 million or $0.17 per diluted share in the third quarter of 2012. EPS, excluding special items, was the same as GAAP EPS in both quarters. EVA in the third quarter of 2013 increased by 35% versus the third quarter of 2012, which is driven by improved results from both segments. During the third quarter, cash provided by continuing operations was $114.4 million versus $49.7 million from the prior year quarter, driven by improved earnings and partially offset by the seasonal working capital requirements in both segments. For the fourth quarter of 2013, we will remain focused on achieving our cash flow targets, as we continue to prioritize debt repayment, while also funding our growth and process improvement initiatives. During the quarter, net debt reduction totaled $95.4 million, and we will remain on target to deliver at least $200 million in full year debt reduction led by cash from profitability. To reiterate, our normal seasonal cash flow pattern is for the bulk of debt reduction to occur in the fourth quarter. Turning to our segment results. Foodservice sales in the third quarter of 2013 totaled $402 million, up 2% from a year ago. Third quarter operating earnings in Foodservice were $69.5 million. Operating margins was 17.3% or 90 basis points lower than the prior year quarter. We continue to expect full year margins to be in line with last year's full year margins. Third quarter Foodservice margin comparisons were driven by ongoing investments in our manufacturing strategies, key brand initiatives, as well as new product development costs. Moving to the Crane segment. Third quarter sales totaled $613 million, a year-over-year increase of 10%. Overall, Crane segment operating earnings in the third quarter were $56 million versus $27 million last year, which is a 110% increase. This resulted in the third quarter Crane segment operating margin of 9.1%, up 430 basis points. This favorable year-over-year comparison was primarily led by higher sales volumes, solid gains in operational efficiencies and results from our procurement initiatives. Crane backlog at quarter end was $568 million, a decrease from $726 million for the prior year quarter. For the third quarter, new orders totaled $450 million, which represent a book-to-bill ratio of 0.7x. Overall, new orders during the quarter declined 23% year-over-year, reflecting cautious posture of many of our customers despite the improved results in their businesses. Before concluding my remarks, let me now discuss our remaining 2013 outlook. As noted in yesterday's press release, we are lowering our Crane and Foodservice revenue guidance, as well as our full year effective tax rate, while reaffirming margin guidance and all other key full year financial metrics. For the full year, we now expect modest single-digit revenue gains in Foodservice and mid-single-digit revenue growth in Cranes. The fourth quarter of 2012 was an unusually high revenue quarter in Crane, which we do not expect to replicate in the fourth quarter of 2013. However, we do expect to achieve our full year margin guidance of high single-digits, given improvement in manufacturing efficiencies, procurement efforts, as well as favorable year-over-year crawler mix. In Foodservice, we expect to achieve a full year mid-teens operating margin, despite the margin decline in the year-to-date period. This is primarily due to realizing the benefits from our manufacturing changes implemented earlier this year, being fully realized in the fourth quarter. Other guidance expectations include capital expenditure and interest expense of approximately $100 million and $125 million, respectively. Debt to EBITDA will once again decline more than 1 full turn to below 4x, approximately half the peak level experienced in 2010. Finally, we expect the full-year effective tax rate to be below 30%. With that, I'll return the call to Glen for his closing comments. Glen?
Glen E. Tellock: Thanks, Carl. To conclude, we've delivered another quarter of solid sales and operating performance amidst the increasing uncertainty and pressure in the global macroeconomic environment. In times such as these, it is important to note that we will continue to diligently manage the business in areas we can control. Over the years, we have proven our ability to navigate through tough environments. Our efforts will continue to emphasize expanding margins, generating strong cash flows and focusing on our strategic imperatives such as new product introductions, aftermarket solutions and operational excellence initiatives. We are confident in our ability to drive our long-term profitable growth as we look ahead to 2014. This concludes our prepared remarks for today. Shannon, we will now begin our question-and-answer session.
Operator: [Operator Instructions] It looks like we will take our first question from Andrew Kaplowitz with Barclays.
Andrew Kaplowitz - Barclays Capital, Research Division: Glen or Carl, one of your competitors mentioned an uptick in crane orders in October. Maybe you can talk about -- have you seen any uptick in 4Q so far? And then do you expect customers, as they usually do, to buy more crawlers in 4Q? And could you talk about whether customers -- your opinion of whether you think customers will defer orders until U.S. ConExpo? Or how you're thinking about the potential for orders at ConExpo?
Glen E. Tellock: I'll take the first one. We -- I think we've been very consistent. We report our backlog on a quarterly basis, report our orders on a quarterly basis, and we'll continue to do that. I think that's -- I mean, that's just the best way to say that. Now what do we expect in the fourth quarter? Andy, it depends sometimes on whether -- and we've talked about this in the past. Whether you have price increases, if they're midyear, if they're late in the year, if it's first part of next year. And so people will if they think there's a price increase coming, they'll put their orders in, they'll put their projections in for 2013. But yes, we haven't had any price increases. So do we expect that our dealers in North America will start giving us their orders for 2014? Yes. Do we expect the people in the other regions, EMEA and Asia, to do the same thing? Yes. So I mean, yes, there's that expectation that we have that, obviously, orders would be better in the third quarter. And then lastly, you asked about ConExpo. That's a wildcard. I think we have some great products that are going to be shown at ConExpo. We're looking for -- I can make a pitch for ConExpo, being the Chairman of ConExpo, that we're expecting record attendance at ConExpo. It's going to be -- we've sold the most space that we've ever had for ConExpo, so we're expecting it to be a very good show. And I would think our Crane segment would be at the forefront of having a very good show for that, so -- and that it all depends, I mean, if people know what's going on beforehand. Again, that's why you try not to say much about orders received at that, because you don't know if it was received in January, February, prior to ConExpo or if they want the attention at ConExpo and come in with the order at ConExpo. So again, I -- one thing I want to say that is so odd right now is when you talk to a lot of the customers, and it doesn't have to be just in the Americas, people aren't as pessimistic as our orders showed over the third quarter. We mentioned, people -- when I say crane rental companies, contractors, customers on the crane side, they're more optimistic than what our certainly orders would show. But, obviously, you don't feed your family on quotes. So that's one thing that's a little bit of a challenge to us right now, as you look at trying to plan for 2014. Obviously, the numbers are the numbers. Eric, I don't know if you have anything to add to that?
Eric P. Etchart: No, I think you've covered all the topics pretty well with that.
Andrew Kaplowitz - Barclays Capital, Research Division: Glen, that's helpful. Maybe one for Carl. Your incremental margins in Cranes were very strong, and now for the year, you're well over 30%. Can you talk about if there was anything unusual in 3Q margins? Or is this really just good execution and positive mix from crawlers helping? And then going forward, do we expect that mix to continue to be positive, as we go in the fourth quarter and then 2014?
Carl J. Laurino: There wasn't anything really unusual. I think the ability to get there -- the only thing that I might point out that is a little bit unusual is, obviously, the comparable period. 2012 third quarter was a light quarter. We talked about the push out of some of the top line in the revenue that benefited the fourth quarter last year. That was a little bit unusual and, obviously, that affects the absorption that was detrimental to last year that we didn't suffer this year. So really, the drivers are the types of things that you probably would expect, procurement, cost savings.
Andrew Kaplowitz - Barclays Capital, Research Division: When you say procurement, you mean steel, Carl? Basically, it looks good.
Carl J. Laurino: Input cost, not necessarily just steel. The manufacturing cost savings that Glen talked about in his prepared remarks and the things -- those would be the 2 primary drivers to the performance.
Eric P. Etchart: Andy, I'm going -- I mean, we're working very, very hard on our LEAN journey. I think we have -- I had a -- really, a team of great manufacturing folks and working very hard in improving our productivity, efficiencies in the plants. And we saw, truly, bearing some very good fruits. And the other things we have embarked into, a quality program, 2 or 3 years ago. And if you look at our cost of pool [ph] quality, we see now some good improvements. So that's also a good contribution, I think, to our improved margins.
Operator: Next, we go to Alex Blanton of Clear Harbor Asset Management.
Alexander M. Blanton - Clear Harbor Asset Management, LLC: I'm going to go away from some of the numbers for a minute and ask you, you mentioned that at ConExpo you'd be showing new products with new technology. Could you be a little more specific and just give a little -- a description of what the new technology is, what it does, what the benefits are and so on?
Glen E. Tellock: Yes, I would -- that's a good question, and we had a lot of discussion on how to say that in the script. But I would -- the best way to say it, Alex, is we're not ready to fully reveal what some of that stuff is. And I think that's where some of the surprise will come out at ConExpo. But I think it suffices to say that we do have some things that go across all the product lines that people will be happy to see.
Alexander M. Blanton - Clear Harbor Asset Management, LLC: Well, let me just ask is it electronically related, new electronics and...
Glen E. Tellock: It's -- could be some of that. It's different types of innovations in lifting solutions. It's all of the above that we -- common controls. All of the above.
Alexander M. Blanton - Clear Harbor Asset Management, LLC: Well, we look forward to seeing that. Second question is this. You mentioned LEAN initiatives, I think in the press release. LEAN practices helped you improved your margins. Which LEAN practices has the biggest impact on your business the last year or 2, your margin?
Glen E. Tellock: Well, I think, it -- what starts -- I'm going to let Eric give a more specific description of what's happened. But I think, Alex, the big thing is LEAN is a journey. And it's really -- I mean, we've been on this for a long time, but when you really start to get the benefits is when everybody starts buying in and everybody gets it. When it becomes a behavior as opposed to a management philosophy. And sometimes people want to look at it as "Oh, here we go again with another program." It's really when people start buying in and get it. And we've seen this in a lot of things, whether it's EVA or safety or whatever it is. I mean, when people make a behavior, that's when you start to see the benefits. And I think that's what's happening a little bit on the Crane segment. But, Eric, you're going to speak to some specifics for Q3.
Eric P. Etchart: Yes, it's about value stream management, material flow. Obviously, 5S, that we have started many years ago, but that's a good one. You see our safety metrics have improved drastically. So it's all about this. Working, also, with a supply chain has helped us, really improved, but not only on the inventory turns, but on our efficiency as well.
Alexander M. Blanton - Clear Harbor Asset Management, LLC: All right, and LEAN...
Eric P. Etchart: This isn't that globally across all the plants. That's very important pointed as well around the globe. And so we have some common practices that you can see in France, Germany, U.S., Brazil and China. [indiscernible]
Alexander M. Blanton - Clear Harbor Asset Management, LLC: Yes. And let me ask you what your -- have you been able to shorten your lead times because of this? And if so, in your small- and medium-sized equipment, what is the shipment time? Not the assembly time, but the time when you get an order that you can deliver?
Eric P. Etchart: Well, we have made some improvement. Obviously, depends on the product line, as you can see. It's difficult. On the crawler cranes, you still have some specific confidence that's a very long lead time. But overall, yes. We definitely have improved our lead time with the suppliers, definitely. And we are more desired [ph].
Alexander M. Blanton - Clear Harbor Asset Management, LLC: What would you say, is it in weeks or months? Give us an idea of what that is. I just want to compare with others in the industry.
Glen E. Tellock: Well, and again, Alex, that goes by product. Obviously, it's different for a 70-ton RT and a self-erecting crawler crane than it is for a 400-ton crawler crane, so -- but I would say you're certainly looking at several weeks easily in many of the product lines.
Operator: And next, we will go to Nicole DeBlase.
Nicole DeBlase - Morgan Stanley, Research Division: So just a question on the competitive environment. I'm curious what you're seeing on the pricing front within the Crane segment. Any big changes versus what you've talked about in the past few quarters?
Glen E. Tellock: No. I think it's still pretty much the same, Nicole. It's -- there are deals where some people get very aggressive and that's -- I don't see it any different. I don't think pricing has been an issue across the board there.
Eric P. Etchart: I've seen very surprising discipline, I mean, from most of the people, of course. You can see deal that -- you can see people being more aggressive on specific deals. But overall, I would concur with that. The only thing that we have seen is because of a yen, softening yen, it has definitely helped our Japanese competitors in some part of the world, particularly in the Middle East, where I think they are more aggressive than they used to be. And I think it's really driven by the currency impact.
Nicole DeBlase - Morgan Stanley, Research Division: Okay. Got it. And then just maybe one for Carl on tax. I know you guys have less than 30% in the press release, but can you provide any more details around what you're expecting for our fourth -- for the fourth quarter or what we should be modeling?
Carl J. Laurino: Well, I think there's an opportunity for us. Obviously, it's difficult to project on the tax front because of the different jurisdictions that are the drivers. It could be significantly below 30%. But I would -- if I was going to bracket it, it would be somewhere in the -- maybe as low as the mid-20s, if everything went the right way. But we think it's probably best to express it as -- that it will be below 30%.
Operator: And next we move to Seth Weber with RBC Capital Markets.
Seth Weber - RBC Capital Markets, LLC, Research Division: Just -- so I'm just looking at your guidance for this year, for the Crane business, mid-single-digits, which -- revenue growth, which suggests something north of $700 million for the fourth quarter. And I'm just trying to reconcile that number with the Crane backlog of $568 million. Can you help me connect those dots there? I mean, are you booking and shipping more stuff into the quarter? Is it Crane -- you mentioned Crane Care a couple of times. Is it -- Crane Care is incrementally stronger than what we had used to think about? Or how do you get to kind of a $700 million-ish revenue number off of a $568 million backlog?
Glen E. Tellock: I think, Seth, first of all, good work on the roll forward. Secondly, yes. I mean, you hit it on the head. It's what is going to be ordered and shipped within the quarter, that's the big unknown. But based on some of the things we do know and some of the things we're comfortable with, that's the expectation. I would say we've talked about orders and how things have been ordered and shipped within the same quarter. The percentage that we would have in the fourth quarter, to get to that $700 million number is a little bit higher than it has been in previous quarters. And there's a lots of things that go into that. And again, I'll go with conversations with customers. Some of the past history that we've had, as we've gotten towards the end of the year with the accelerated depreciation, that all plays into it. So it's really the number that we're focused on as what's ordered and shipped within the quarter.
Seth Weber - RBC Capital Markets, LLC, Research Division: Can you frame what that's been historically as a percentage?
Glen E. Tellock: Well, again, when in the trough, that gets upwards 50%, 60%. When there's a backlog, it gets down to 10%, 15%. I would say you're looking more towards the -- right now, somewhere right in the middle there.
Seth Weber - RBC Capital Markets, LLC, Research Division: Okay, that's helpful. Does that mean that -- does that infer that it's -- it'll be smaller cranes, because you have the ability to turn those out more quickly? Or can you book and ship crawler or a bigger crane intra quarter, the same as you could a smaller crane?
Carl J. Laurino: Seth, I'll jump in here. This is Carl. The progress that we made on a -- from a cash flow standpoint was good in the quarter. But we still have some more inventory than I would like to see. We've got finished goods that, obviously, are in various categories of crane, not all very large cranes, but kind of across the product line. And that -- I think that will enable us to, obviously, deliver very quickly on some of the orders we expect to receive this quarter.
Seth Weber - RBC Capital Markets, LLC, Research Division: Okay. That actually makes sense. And I guess, if could just follow-up with another question. One of your competitors this week talked about some excess channel inventory in North America across the industry. Is that something that you're seeing? Or is that something you would have any comments on?
Glen E. Tellock: I'll let -- it's funny you say one of our competitors. There's only -- I think we know who it is. And you know this, because we've talked about it in the past, we track our dealer inventory on a regular basis. And I'll let Eric give more specifics if he feels like it, but when we look at the dealer inventory channel, I think we're at levels that are very reasonable for what we track on, on every one on the product lines.
Eric P. Etchart: Yes, we track the dealers' inventory every week, and the dealers report that on a special web application that we have developed, so we know exactly where we stand. And frankly speaking, we have not seen anything different than the other quarters. I think the inventory level is at the right level for Manitowoc.
Operator: And next, we move on to Charlie Brady with BMO Capital Markets.
Charles D. Brady - BMO Capital Markets U.S.: Just back on the Crane orders, second quarter and some of the crane orders tailed off as you went through the quarter. Can you give us a sense of kind of the tenor of orders through the third quarter and insight and kind of -- has it got changed? Has it gone up or down or flat, going out of the quarter?
Glen E. Tellock: Yes, I would say it was probably a little better early in the quarter. And I was -- you get August with the European holidays and that kind of thing. And I think, historically, you'd see a little bit of a pickup sometimes in September after the European holidays. But I would say it probably wasn't as good as it had been in the past. So I would say it was okay in July and you probably saw August and September being a little lighter than -- and again, I'm going to say than what we had expected. And that's to Carl's point on some of the inventory.
Charles D. Brady - BMO Capital Markets U.S.: Okay. And I guess, I mean, I'm trying to square up here. When you say you're looking at fourth quarter Crane sales, I mean, what is your sense of visibility, given that we're 1/3 of a life through that quarter anyways in terms of -- you talked about a little over $700 million number. We can all do the math on that. I mean, obviously, it's dependent, you say, on what's going to be booked and shipped in the quarter, but I mean, what is the extent of your visibility on exactly what's getting booked? And when are you going to ship out in the quarter and book for revenues?
Glen E. Tellock: Well, the visibility is the conversations with our salespeople and dealers. I mean, that's -- and I think, I'll use the same term you did, one of our competitors in North America talked about the amount of quoting activity, and we see the same thing. So it's really what goes from quote activity to actual shipments. And I think that's one of the things that's a little different now, Charlie, than we've seen in the past. People -- this is the third year in a row where the first half of the year was pretty good, and all of a sudden, the third quarter, and my comment is, is that the new norm? I mean, after 3 years in a row, maybe perhaps it's a trend. And I think if people realize if the inventory is available, their decision process is a little bit quicker. And then they expect the manufacturer, the OEM to have the inventories, as opposed to them having it. So I think what's happening, as you're seeing that little bit of -- well, I think if the manufacturer has it, I don't have to go out as far. And so when you put all that together and you look at the expectations, that's why I said it's a little different than what it's been in the past, because the expectations or the conversations we have with lot of customers isn't as bad as what our order intake appears to be.
Charles D. Brady - BMO Capital Markets U.S.: Right. But at some point, there's a lead time to make a crane, and I'm guessing, it's generally more than 2 months. So I'm just trying to square that out.
Glen E. Tellock: Yes, but I think -- that's Carl's point. That's what I mean -- I want to go back. I mean, we've said it a bunch of times, and you've heard other people say it. I think there was an expectation for the market to be a little bit better. So we do have units in inventory. I'm not going to say we build to stock, that's not what it is. But based on conversations with customers and what they think they need and what projects they have coming out, there are certain products that can be ordered and shipped within a couple of weeks. All it is the final touch up and the testing on certain products, and so that's -- when you look at the inventory numbers of finished goods, that's where it's going to -- some of it's coming from.
Operator: And next we move to Robert Wertheimer with Vertical Research Partners.
Robert Wertheimer - Vertical Research Partners, LLC: Let me just start with Foodservice real quickly. Could you just talk a bit about, given all the production improvements that you've done, can you just mention what you feel like the margin improvement in the next year is? Is it better, worse than you thought? And does it look just as good as it had when you planned all of that?
Carl J. Laurino: Yes, I think it's pretty consistent with our expectations. I think you'll see some of that in the fourth quarter. Obviously, to the guidance that we've given. Implicit in that is there's a pretty good pickup that takes place in the fourth quarter. And that will sustain in 2014. So obviously, we'll give our formal guidance when we have our Q4 conference call. But we'll definitely see some year-over-year because of the manufacturing changes and the costs that are associated with that, not being in place late this year as well as 2014.
Robert Wertheimer - Vertical Research Partners, LLC: And 4Q would still have some tailing effect of investment changes and disruption, et cetera and continue to improve from there? I know I'm boxing you in, I'm sorry.
Carl J. Laurino: No, pretty minimal for this quarter. It's -- we're getting to the gravy time on the changes that we've made.
Robert Wertheimer - Vertical Research Partners, LLC: Great. And then, Glen, if I could ask, I know everybody's harped on the same issue, but you mentioned something that Terex had said it feels like people are inquiring, quoting, doing more and more activity, but yet, the orders have been, as you said, fallen off, either the back half or a couple of years are really just not as good as it were a couple of years ago. Are there pockets of strength that people needed to order for and did that and they've gone away, and so you've seen that mix change? Maybe I could ask specifically about U.S. Petroleum and whether it was frac-ing or something else, there was a pocket of strength that really made it good and that faded away, and you're waiting for the other pockets to pick up? Or is there anything else you can do to help bridge that GAAP between the interest and the activity in the past orders that you've had?
Carl J. Laurino: I really -- Rob, I just think it's just the uncertainty in the economy. I mean, I think people thought you would get through, so I'm just keeping it to North America for right now. But I think if you looked at what was happening through the summer with some of the political things in the Middle East, you come to the Americas, you have -- are we going to have a government shutdown? How does that impact everything? I don't think people are seeing things as it's a long-term negative. I think people are just uncertain. So they're saying that "Hey, if I don't need to buy something right now, why would I go put in an order, make an order to get something in the fourth quarter? Why don't I just wait and see what's going to happen on October 17? Why don't I wait to see were some of these things come out?" And I think there's just a cautiousness. I mean, it's no different than us with some of the capital expenditures we have. I mean, we're looking at our business and saying, okay, if we want to do some of these things. I mean, we use the phrase pause as a strategy. And that's, I think, what's happening. People are pausing. They're not stopping, they're just pausing to see what's going on. And I think when you go then back to the basics on the Crane side of the business and look at utilization rates, look at rental rates, they're improving. You look at some of the performance of some of the people that are in the rental business, it's pretty good. And I'm not saying -- they're not doing backflips saying business is great back to 2007, 2008. But their businesses are a lot better today than they were a year ago, and so I don't. That's the struggle. And I want to say, one quarter doesn't constitute a trend, but we're certainly going to watch it very closely to see how 2014, we think, it's going to shape up. Eric, I mean, do you have a ...
Eric P. Etchart: I think back to the conversations, the large rental houses in the U.S. are really starting to talk about their rental fee in 12, 18 months. These kinds of conversations, we deal now than before. So I think, there is some level of confidence that 2014 should improve in the U.S. and crawlers, in particular, because we think that 2013 and 2014 for the wind business should be good, we know that. And again, I mean, oil and gas continue to be a strength. So I think there is a lot of positive, but that doesn't translate into orders. And I think this bounces back to what Glen mentioned, it's a lack of confidence on what's going to happen. So a lot of positive, but there is a kind of disconnect with the order rates right now.
Operator: And next we move to Schon Williams with BB&T Capital Markets.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Could you just talk specifically what was the year-over-year growth drag for food margins, just from the restructuring consolidation?
Carl J. Laurino: In the 9 months, Schon, it was almost $6 million. There was some -- obviously, some of these projects began in 2012, so there was spend. But if you look at the year-over-year growth change, it's about $6 million. That's year-to-date?
Carl J. Laurino: That year-to-date, correct.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Okay, that's helpful. And then last quarter and perhaps a quarter before that, you talked a little bit about some quality control issues on the crane side of the business, possibly holding up new product development and possibly orders. Can you just give us an update on where we stand with that?
Carl J. Laurino: You cut out there for a second, Schon.
Carl J. Laurino: The question was just in the past, you talked about you had some new products coming out in the back half of the year, but you're kind of holding off on introducing some of those products because of quality-control issues that you had identified ahead of time. Is that still an issue? Can we -- is there any update to that?
Glen E. Tellock: No, there's -- I mean, the things that we talked about with respect, I think, was the RT770 at the end of the second quarter. Those have worked their way through the system. And I think there's probably just a little bit left here early in the fourth quarter. But no, we're good to go.
Christopher Schon Williams - BB&T Capital Markets, Research Division: And can that -- I mean, can that alone be a needle mover for orders in the fourth quarter? Or it's the small piece of the mix at this point?
Glen E. Tellock: Yes, it's a smaller piece, but it will -- it, certainly, will move it. That didn't go out in the third quarter. I mean, that was kind of the bottleneck that we had and how do you get the fix that we had early in July and then get everything out the last part of August and September. So yes, it moves it a bit, but I would say that's a known factor to us. As I said earlier on the call, the unknown factor is what we have to order, getting orders and ship within the quarter, the bigger wildcard there is that piece.
Operator: And next we move to Ted Grace with Susquehanna.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: Quick question for Eric and -- or Glen. We talked about kind of crane orders and the cadence throughout 3Q, but do you track inquiry levels? And is there any characterization you could share on kind of how that pattern looked throughout 3Q? And maybe even some more perspective how it's progressed 2Q into 3Q by month and give us a flavor for that?
Glen E. Tellock: I'm not sure I completely understand what you're saying. When you say the gray...
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: Sorry, inquiry levels.
Glen E. Tellock: Inquiry level.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: Yes, so the kind of -- we've talked about inquiry levels for customers that are calling, either asking for quotes or -- I don't want to call it tire kicking, but kind of that kind of concept.
Glen E. Tellock: As I said earlier, I think it's the same as when we talk in the second quarter call, conversations are good. The conversations are upbeat, but I don't think it's any different now than it was in July. When it came into the order trend, yes, as I said earlier, the order trend was a little bit better in July than August, September. But I think all the conversations -- Eric was all over Europe and Middle East during the third quarter. I've had a lot of conversations with customers here in the U.S., and we compare notes on a regular basis. And I think we're both on the same page with respect to the conversations.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: So the volume of conversations didn't change materially?
Eric P. Etchart: No. And, of course, it depends where you are. But I mean, if you take the Middle East side, I think we see more discussions over activity in some countries which were very quiet before, at least for the first part of the year like, Saudi Arabia or Qatar or Iraq. I mean, you see more activity there. If you move to the far east, I mean, in Korea, there is a lot of activity going on both from towers and mobile cranes right now, taking place in Korea. That's really happening in Q3. I mean, doesn't mature as yet in a lot of orders influx, but there are more activities taking place in Hong Kong, for towers, for example, Singapore, so -- and these are the hot spot. Of course, Australia is down and India is also down, and Brazil has slowed down. I mean, no doubt about this. But, overall, I think the level of activity and the discussions about cranes is it's solid, I should say.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: Okay, great. And then one quick question for Bob, or as quick as you can summarize it. Bob, I think you've kind of have been in the seat for 90 days. I just would be curious to get a quick snapshot of your first 100 days observation. And if you were to force rank the #1 kind of focus and where you think you can make the biggest difference or will make the biggest difference? I know you talked about focusing on customers, new product introductions and leveraging the scale, but what will be kind of the #1 opportunity you see for yourself?
Robert M. Hund: Thank you, Ted, for asking. I've noticed in the first 100 days, there's a lot of opportunity across Foodservice. We have a lot of talent across the world in our different operating companies, leveraging that talent to help innovate on a customer's behalf. Yes, it seems in Foodservice, with Manitowoc in particular, that we really shine when we can help a chain or a specific customer expand their menu offering. When we can differentiate their product to their customers in a certain way. And that's why we have this team of culinary people and R&D people. If you look at where we really excel, it's in those areas. And we're doing that. Expanding in that direction to be able to provide discernible value for customers, I think is an area of growth that we have. And I think a lot of the major chains realize that for us.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: Okay, great. Well we look forward to seeing the progress.
Robert M. Hund: Yes, thanks. It's all about alignment.
Operator: And next we move to the Jerry Revich with Goldman Sachs.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Carl and Glen, can you talk about how challenging is it to run the business operationally in this environment where you get a lot of quoting activity but a lot of book and ship has to happen in the fourth quarter? And what are you doing operationally to manage the process in that environment?
Carl J. Laurino: Well, the guy that actually has to face that issue is sitting to my left. I'm going to let Eric tackle that one.
Eric P. Etchart: Well, it's not necessarily a walk in the park. I would say, it's -- you've got to be very, very focused in what you do. And we -- again, we stay very focused on our key strategic initiatives. And again, improving our manufacturing efficiencies, and the changing initiative is very, very key. The customer focus is very important. I'm very pleased with the new product. I mean, the product we have introduced has made a very good impact in the market, because of the quality, reliability and the features. So that's something that we will continue again to invest in our R&D because it's a recipe for success. And I cannot wait that we are overly repowered, because that takes still a big toll in our engineering efforts. But, overall, I mean, it's not as easy. We're not back to the peak of the cycle. We're still very far from the 2008 situation. So it's kind of -- you cannot have any waste in your organization, and you've got to be efficient, so -- and the lack of visibility makes it kind of always very challenging.
Glen E. Tellock: And, Jerry, I would add one thing that makes it challenging as an enterprise is the fact that we have some other initiatives and goals that we're trying to initiate. And that is debt reduction. It's some of the imperatives that we have on the innovation and making sure we invest in the aftermarket, and we're doing all those things. So I mean, if we -- in a perfect world, if everything is working together, we have a pretty good plan. It's when different pieces of plan don't come together, and you had changes in the environment. And that's why I said a couple of times in my remarks, we're pretty good at doing this. We've shown a pretty good history of being able to navigate through the ups and downs of our markets. And the beauty is the Crane segment has been together as a group after we did the acquisitions of Potain and Grove since 2002. They've been through this before, and it's a lot of the people that have navigated through. And they pull out their playbook, and they know the right moves to and then levers to pull. In Foodservice, it's a little bit of a different story because, as we come together, we're into this for 4, 5 years. You have a group of people that did it individually but not as the enterprise we have today. That's across the globe with the product breadth that we've had. So it's some of that learning that we have and spreading that across the enterprise. And I think it makes us -- I think the one thing we're going to say forward, and I think whether it's our competitors or rest of the people in construction equipment, they are no better at forecasting than we are. And so, what has to happen is who's more flexible. And who can navigate through these times? And I give our team a lot of credit for it.
Eric P. Etchart: One thing I would like to add for cranes. We have these SAP Project One deployment, and we stayed the course. And gosh, it's a big project. I mean, I think we should outline how many efforts and SG&A are going into these deployments. We know that it will be -- it will pay off when we are fully deployed in 2016. And we stay the course, because we know it's a right thing to do.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Okay. And a follow-up on the orders in the quarter. Were there any regions at all where your book-to-bill was close to 1 or over 1, and where was -- back which regions saw the biggest backlog burn? Just help us understand the cadence?
Glen E. Tellock: Carl?
Carl J. Laurino: I don't believe that anybody was over 1X book to bill. There's, obviously, specific countries within regions that are better than the average. But I don't think an entire region was over 1x book to bill in the third quarter.
Operator: And next, we go to Stanley Elliott with Stifel.
Stanley S. Elliott - Stifel, Nicolaus & Co., Inc., Research Division: A quick question. We talked about the quoting activity in these conversations, in general. Do people tend to be more optimistic on the smaller side of the crane market, or more on the larger side of the crane market?
Eric P. Etchart: I would be more optimistic on the larger side of a crane market. I mean, if you talk to customers, and they want bigger and bigger and bigger. So I think we'll see, as we go for the up cycle, I think the mix would be very different from what we have seen back in 2007 and 2008, so bigger cranes, definitely.
Stanley S. Elliott - Stifel, Nicolaus & Co., Inc., Research Division: Great. And then in regard to the Project One, would the spending -- should we think about the spending being fairly consistent all the way through 2016? Are there any ups and downs, puts and takes along those lines?
Carl J. Laurino: It'll drop a lot in 2016, but it will sustain until then.
Operator: And that does conclude today's question-and-answer session. I would like to turn the conference over to Mr. Khail for any closing remarks.
Steven C. Khail: Before we conclude today's call, I'd like to remind everyone that a replay of our third quarter conference call will be available later this morning. You can access the replay by visiting the Investor Relations section of our corporate website at www.manitowoc.com. Thank you, everyone, for joining us today and for your continuing interest in the Manitowoc Company. We look forward to speaking with you again during our fourth quarter conference call in January. Have a good day.
Operator: And that does conclude today's conference. We do thank you for your participation. You may now disconnect at this time.